Operator: (Operator Instructions) Welcome to the McCormick First Quarter Financial Results Conference Call. It is now my pleasure to introduce your host, Joyce Brooks, Vice President Investor Relations for McCormick.
Joyce Brooks: Good morning to everyone on today’s call and to those joining us by webcast. The purpose of our call is to review McCormick’s first quarter financial results and latest 2010 outlook. We have posted a set of slides to accompany today’s call at our website IR.McCormick.com. With me are Alan Wilson, Chairman, President and CEO, Gordon Stetz, Executive Vice President and CFO and Paul Beard, Senior Vice President Finance and Treasurer. Following our remarks we look forward to discussing your questions. As a reminder, our presentation today contains projections and other forward looking statements and actual results could differ materially from those projected. The company undertakes no obligation to update or revise publicly any forward looking statements, whether as a result of new information, future events, or other factors. It is now my pleasure to turn the discussion over to Alan.
Alan Wilson: We’re pleased to report strong financial performance for McCormick’s first quarter of 2010. Our results included 6% sales growth, gross profit margin up 100 basis points, and a 16% increase in earnings per share. Gordon will be reviewing some of the details with your shortly. I’d like to start off the discussion by sharing with you some important business highlights. One of our key objectives for 2010 is to increase our brand marketing support, to connect with consumers at a time when they are preparing more meals at home, and looking for great taste, convenience, and a good value. We set a goal to spend an incremental $20 million on marketing programs with a large portion of this to occur in the first half of 2010. For the first quarter we increased promotion and advertising by $8 million, this is 28% more than we spent in the prior year period. In the US we boosted our holiday programs with television ads and our first ever holiday flavor forecast. Incremental advertising also featured Zatarain’s reduced sodium products and the high antioxidant levels of our super spices. We drove great first quarter results in our consumer business with these campaigns. As you can see on slide six, for our US consumer business, unit volume of herbs and spices were up 7%, extracts up 23%, and we achieved 10% increases for both our McCormick brand dry seasoning mixes and our Zatarain’s line. In this same market, our sales of private label and economy brands declined. Internationally, support for our Patisserie Vahine range of premium quality home made dessert mixes led to a solid sales growth in France. We grew sales for a broad array of Schwartz brand products in the UK and our McCormick brand sales in China were up double digit with an increase in marketing support as well as our ongoing distribution expansion efforts. Turning to product innovation for the consumer business, our sales force has made strong progress in transitioning our range of bottle blends to the Perfect Pinch line. Perfect Pinch makes it easy for consumers to explore new flavors and create inspired meals. In addition, we’ve had enthusiastic retailer acceptance of our Recipe Inspirations items with commitments from two thirds of our retail accounts. Recipe Inspirations feature pre-measured spices and a collectible recipe card that make it easy to create flavorful meals at home. For each of these new lines we’re geared for a dedicated marketing campaign set to launch in the next few weeks. While I’m going to let Gordon provide the financial details, I want to make some general remarks about our industrial business as outline on slide eight. We were pleased to win some new business that included flavor sold to food manufacturers in both the United States and Mexico. We also grew sales with a number of existing items and customers. For example, we increased our sales to quick service restaurants in both Europe and Asia. However, we continue to face some challenges in the current environment. Demand from quick service restaurants is down in the US and we had reductions in sales of bulk honey in Canada and bulk spices in Asia. In addition, we still have some sales weakness in the UK food service channel following the 2009 bankruptcy of our primary distributor. That was a long list of pluses and minuses for our industrial business but the net result was that we moved the sales mix toward more value added, higher margin products and the net result from the profit line was a big plus. This positive mix of sales along with CCI led productivity improvements delivered an outstanding 34% increase in operating income for our industrial business. Our teams are doing a great job navigating the current environment and driving profitability. I mentioned CCI, our comprehensive continuous improvement program, as a factor behind these results. There was good progress across all of our operations early in the year and we’ve now identified projects that account for nearly all of the $35 to $40 million that we set out to deliver. We are confident that this is an achievable goal for 2010. One more highlight from the current quarter before I turn it over to Gordon is that of our joint venture in Mexico. Driven by results of McCormick de Mexico, our income from unconsolidated income nearly doubled from the year ago period. As indicated in our January call we expected a significant increase led by our joint venture in Mexico. If you recall, back in the first quarter 2009 this business was affected by an unfavorable position with soybean oil and an unfavorable currency rate. About midway through 2009 we had worked through this inventory position and currency rates stabilized. These improvements continued into the first quarter 2010 and led to a significant increase in income. While this swing in material costs and currency are noteworthy, I would be remiss if I didn’t highlight the impressive sales increase from our McCormick de Mexico joint venture. Using the McCormick brand name, McCormick de Mexico’s products include spices and seasonings, teas, marmalade, and mustard, but the leading product line is mayonnaise. Mayonnaise is a growing category in Mexico and our business is stimulating this growth with product and packaging innovation and with advertising. With a 350 basis point increase in market share the past 12 month these efforts are clearly having a positive impact on retailers and consumers. We’ll hold additional topics for our investor conference here in Baltimore which is just a few weeks away. A number of you have already registered for this event and you can check with Joyce if you have not yet registered and would like to do so. At this conference we look forward to discussing our progress with key growth initiatives and our longer term outlook for McCormick. Those attending will have a chance to hear from and meet the key members of our leadership team. I’ll conclude my remarks with a heartfelt thanks for McCormick employees around the world for their commitment, their talent, and their energy. They’re driving great results and have us off to a strong start in 2010. Now I’d like to turn it over to Gordon.
Gordon Stetz: I’d like to go through some of the details behind our strong first quarter financial results. Let’s start with a look at our consumer business. As Alan indicated, we increased our brand marketing support in the first quarter which for this part of our business was up 31% to $32 million, an $8 million increase. Even with this higher spending, operating income for this business grew 8% with higher sales and cost savings from our comprehensive continuous improvement program, CCI. In the America’s region sales rose 5% and in local currency grew 3%. Our investment in brand marketing support is paying off in top line growth with increases in holiday spices and extracts, dry seasoning mixes, and Zatarain’s products. We were extremely pleased with this response to our marketing support. Offsetting these unit increases were reductions in our US sales of private label and economy brands, and an unfavorable product mix in Canada. Our consumer sales in Europe, the Middle East and Africa (EMEA) rose 13% in the quarter with a significant benefit from currency exchange rates. We were pleased with growth of 3% in local currency with contributions from both favorable volume and product mix and pricing actions. Category increases in the UK and France remained robust and we achieved strong sales in these markets in the first quarter with incremental marketing for our Schwartz, Ducros and Vahine branded products. These increases were offset in part by the sales performance in some of the smaller markets where we do business including Belgium, Italy and the Netherlands. In the Asia/Pacific regions, sales increased 20% with growth in local currency 6%. This was driven by a double digit increase in China where we significantly increased marketing support and continued to gain distribution into new cities and retail channels. Our primary areas of focus in the industrial business in 2010 are product innovation and margin improvement. Through both, a more favorable business mix and CCI led cost savings. In the first quarter we made great strides in each of these areas while sales and local currency declined 1%, operating income rose 34% as a result of a positive shift in our sales mix and greater productivity across our operations. With the introduction of some new value added products we offset the impact of continued weakness in certain food service channels. Let’s take a look at first quarter sales results for each of our three regions on slide 14. Sales in the America’s rose 1% and in local currency declined 1%. In response to lower commodity costs such as dairy items, we reduced pricing for certain products during this period. We grew volume with the introduction of new flavors solid to food manufacturers in the US and in Mexico. This was offset by the sales impact of weak demand from the restaurant industry. For both food manufacturers and food service customers, we are encouraged by a number of new products in the pipeline. In EMEA, industrial sales rose 15% and in local currency increased 1%. We had good sales growth with quick service restaurants in this region and with snack seasonings. Our sales of branded products to the UK food service customers continued to be impacted by the bankruptcy of our primary distributor that occurred in the second quarter 2009. Sales rose 11% in the Asia/Pacific region with a 1% increase in local currency. Here too, sales to quick service restaurants were quite strong with improving restaurant traffic in China. This was offset in part by a reduction in our bulk ingredient sales during the first quarter. Across both segments, sales rose 6% and in local currency the increase was 2% largely from higher volume and product mix. With an 8% increase in operating income for our consumer business and the 34% growth in industrial products, we increased operating income for the total business 12% with operating income margin up 70 basis points. As Alan mentioned, gross profit margin improvement was significant at 100 basis points for this quarter. This was ahead of our 50 basis point projection for the year, as a result of a particularly favorable business mix during this period. I would also note that our cost of goods sold for the first quarter included $5 million of costs associated with our recall of a limited number of products that contained an ingredient supplied by basic food flavors.
Alan Wilson: Let me step in here for a few remarks. As those of you who closely follow food companies realize, this was an industry wide issue that affected a significant number of companies and products. At McCormick this ingredient is a very small component in our products and our action to recall product was done from an abundance of caution. There has also been news about a recall of products containing contaminated pepper. This recall affected a number of companies that purchased pepper from several of our competitors. I want to point out that McCormick was not involved in any of these pepper related incidents. We pride ourselves and our commitment to producing high quality, wholesome food and have great confidence in our food safety protocols and the effectiveness of our supply chain.
Gordon Stetz: In the first quarter income from unconsolidated operations nearly doubled from the year ago period. As Alan indicated, an excellent performance by McCormick de Mexico led to this impressive increase. Keep in mind that the year on year benefit from soybean oil costs and foreign currency exchange rates will moderate as we head into the second quarter and remainder of 2010. Our 31% tax rate for the first quarter 2010 was above the tax rate in the first quarter 2009 which included a benefit from discrete tax items. We continue to expect the tax rate for 2010 to be near 32%. Earnings per share in the quarter reached $0.51 up 16% from the prior year. The $0.07 increase was comprised of $0.06 from higher operating income and $0.02 in income from unconsolidated operations. The net impact of favorable interest expense and unfavorable tax rate and higher shares outstanding, lowered EPS by $0.01. I’ll comment briefly on the balance sheet and first quarter cash flow and refer you to slide 18. As is typical in the first two quarters of our year, cash flow from operations was fairly neutral. For the first quarter 2010 cash flow from operations was -$5 million compared to -$13 million in the first quarter 2009. The current year results includes an incremental $25 million in US pension contributions. We continue to make headway with our McCormick profit and the focus it brings on working capital. The McCormick profit, we reward our business leaders not only for strong operating income but also for their management of working capital and saw good progress this quarter with inventory reductions. Let me finish up with our 2010 guidance. If you turn to slide 19 I would like to comment on our financial outlook for the fiscal year. While earnings per share exceeded our expectations for the first quarter we continue to project a range of $2.49 to $2.54. As we move into the balance of the year we expect a more moderate increase in our joint venture income and gross profit margin improvement closer to our 50 basis point target. We reaffirm 2% to 4% sales growth in local currency and continue to project a 2% benefit from favorable foreign currency exchange rates. Other aspects of our guidance also remain unchanged. 50 basis points of gross margin improvement, $35 to $45 million of cost savings from CCI, and a $20 million increase in marketing support. While we do not typically provide quarterly guidance, we do want to point out that we do not expect a repeat of our 2010 first quarter results in the second quarter. As mentioned earlier, we had particularly favorable sales mix in the first quarter that significantly improved gross profit margin. Also, we are planning an even greater increase in our marketing support. This is on top of a $10 million marketing increase in the second quarter 2009. Because a large portion of the 2010 spending is related to awareness building for our new products, it won’t have the immediate sales lift we saw with our first quarter spending. I’d also like to point out that we expect the increase in income from unconsolidated operations to moderate a bit from the first quarter’s results as pointed out earlier in our remarks. As a result of these factors, our current outlook is for second quarter EPS to be in a $0.42 to $0.45 range. To wrap up our remarks this morning, our first quarter sales, profit, and cash have given us increased confidence in our outlook for another year of strong performance. We believe 2010 will be a year of record financial results and increased value for McCormick shareholders. Now let’s take the first question.
Operator: (Operator Instructions) Your first question comes from Robert Moskow – Credit Suisse
Robert Moskow – Credit Suisse: I thought I heard a comment about private label sales being weaker in the quarter and obviously mix was stronger. Did I hear that correctly and to what extent did that impact mix? Maybe just review if that’s not it, what was so good about mix and why wouldn’t it continue to be good for the rest of the year?
Gordon Stetz: You did hear that right. In the quarter our core business items which were the focus of all the advertising and promotional efforts did have a very strong result and private label had weaker trends. It had a favorable impact on the mix and you saw that in the gross margin performance. In terms of go forward, the indication that we’re giving is that we expect the gross margin to be more in line with the full year guidance of 50 basis points. The main reason for that is as we promote into, mainly in the second quarter, we’re looking at awareness building activities as it relates to new product introductions. Those core items that performed so well in the first quarter we wouldn’t expect them to be quite as strong in the second quarter as we’re shifting this spend towards more of the new product and awareness building items.
Robert Moskow – Credit Suisse: As it impacts sales if you’re spending more advertising to put even more effort on these new products and hopefully that would push you even farther away from private label, just from a sales perspective wouldn’t that just keep helping your mix or aren’t these new products accretive to mix?
Alan Wilson: They will be but we expect those to build over time not to have the immediate impact in the quarter. What we’re doing is an investment spend in the second quarter.
Gordon Stetz: Also, private label, recall is a smaller component of the portfolio. While it did have an impact, the bigger impact was really on those core items that performed well that we mentioned in the call earlier.
Robert Moskow – Credit Suisse: Just broadly speaking in the category, have you seen that just overall that the growth in private label has slowed and do you think we hit a peak at some point last year?
Alan Wilson: Private label is still growing, the rate of growth has decelerated a bit as we’ve seen in spices and herbs it has actually continued to grow in dry seasoning mixes but were growing a lot faster and gaining share. We are seeing some deceleration.
Gordon Stetz: I’d like to make one correction to a statement I made earlier. I had indicated that the CCI savings for the year were going to be $35 to $45 million. In fact the slide is right, slide 19 is right, it’s going to be $35 to $40 million for the year.
Operator: Your next question comes from Alexia Howard – Sanford Bernstein
Alexia Howard – Sanford Bernstein: A follow up on pricing, I think in the US your pricing was pretty much flat year on year. I guess we’ve seen price gaps at private label flex a bit over the last couple of years in core spices. Do you feel as though your price gaps at private label are pretty much where you want them and we wouldn’t expect to defer the significant deflation in that segment from here on out?
Alan Wilson: I wouldn’t expect to see significant deflation, however I would remind you that through last year and even as we go into this year, we are still both advertising heavily and promoting heavily to make sure that we maintain good volumes of our brand versus private label. The price gaps are still pretty extensive on certain products and we want to make sure that we stay competitive.
Alexia Howard – Sanford Bernstein: Are we basically done with the food service distributor issue next quarter or is it still going to be a bit of a headwind?
Alan Wilson: It should finish up this coming quarter.
Operator: Your next question comes from Ann Gurkin – Davenport
Ann Gurkin – Davenport: I wondered if I start with Wal-Mart and observing in Wal-Mart that the shelves seem to be set, some shelves are set with Great Value and McCormick brands side by side, particularly larger volume items like Onion Salt. Can you help me understand the level of cannibalization to McCormick brands from the set of Great Value right next to that product on the shelves?
Alan Wilson: A lot of the side by side products where you see both in almost every retailer aren’t new. There’s been on between 20 and 25 items across almost all channels an overlap between the brand and private label for a long, long time so there’s not anything new there. We’re not going to comment specifically on the private label Great Value tests but I will say that there’s not new competition there, we’ve overlapped on a lot of core items for a long, long time on both brand and private label.
Ann Gurkin – Davenport: You haven’t seen acceleration in that side by side set in Wal-Mart at this time?
Alan Wilson: We’re not really going to comment on what’s going on with this test.
Ann Gurkin – Davenport: Can you help me understand a little bit more, McCormick’s penetration into the trend of natural flavorings, Pepsi was talking a lot about that, natural flavorings, other companies are looking to improve natural aspects of products. Can you talk about McCormick’s ability to service that trend?
Alan Wilson: Absolutely, that’s one that’s right up our alley. We typically provide natural flavors and seasonings, as you know we have a fairly significant business in snack seasonings. We have been working with our customers for quite a while in taking artificial flavors and other products out and replacing them with natural seasonings. We’re very, very heavily integrated.
Operator: Your next question comes from Alex Bison – Northcoast Research
Alex Bison – Northcoast Research: Will there be any lingering impact from the basics foods recall in the second quarter?
Alan Wilson: No, we believe we’ve fully reserved the impact of that.
Alex Bison – Northcoast Research: Is there any opportunity to pick up some business in the pepper market as a result of the recall from the other guy?
Alan Wilson: We’ve seen an increase in inquiries, certainly as people look at what they need to do for their own food safety. Our record has been exceptional in that area so we are getting increased inquiries on that.
Alex Bison – Northcoast Research: If my memory serves, retailer sell through is very strong in the fourth quarter and around the holiday season. I was wondering if you could talk about the importance of restocking at the retailer level to your consumer business in the first quarter.
Alan Wilson: Absolutely, as we see strong consumer take aways through the periods there is some restocking that happens and visa versa if we find weaker take aways then certainly that’ll impact us as retailers adjust inventory. That’s why we’re making the investments that we’re making with consumer spending is to make sure that we keep that momentum going. We’re pleased with the momentum we’ve seen at the retail.
Alex Bison – Northcoast Research: On advertising, in the past you’ve gotten some very strong returns out of advertising, are you still pleased with those returns? And secondly given how front end loaded your advertising looks to be this year is it possible you won’t have enough dry powder in the second half of the year or could you maybe overspend the $20 million that you’re expecting to increase the advertising by?
Gordon Stetz: We continue to evaluate the effectiveness of all of our marketing programs and put more money behind the ones that are working and shift away from things that aren’t working as well. We certainly are front loading the increased spend but recall we had a significant increase in our spending through a good bit of last year so we feel pretty confident that we have lots of fuel in the engine. It doesn’t say that if we see opportunities for returns or if we do better with our CCI projects that we won’t look for opportunities to investment spend. We feel like we’ve got a pretty well lined out program for this year.
Operator: Your next question comes from Chris Growe – Stifel Nicolaus
Chris Growe – Stifel Nicolaus: I wanted to follow up to a degree on that mix question earlier. You also mentioned mix is a pretty material driver of your profits in the industrial division. Again, is that something you saw that was unique to that quarter or something that could continue that could help drive, even amidst obviously some weaker restaurant sales, pretty strong profitability in that division?
Gordon Stetz: As we indicated, we had some pricing that were pass throughs as commodity costs came down. As we said, when those items were going up that was a depression on the margin and as they come back down that actually is a help to the margin. That phenomenon we would continue to see as commodity costs pass throughs run through. Product mix and timing of customer promotions is always a factor and it’ll be a function of the timing of when our customers and what’s the current pipeline launch certain items. That also can be both a positive and a negative on the mix as well.
Chris Growe – Stifel Nicolaus: We did see a little improvement in the Europe consumer division. A number of factors, I’m sure were involved in that, you’ve been increasing your marketing there as well. Is that a better consumer environment though at the heart of driving that improved trend or do you credit the marketing for most of that. It sounds like the categories there are doing fairly well.
Gordon Stetz: It’s a combination of both. We’ve tightened up our message and feel like we’re resonating better with consumers but there is an improved market. We were very happy to see positive volume in Europe; I think it’s the first time we’ve seen that in several quarters. We anticipate continuing to drive that but that’s one we’re pleased to see. It is a combination of both, better environment and our marketing programs are more effective.
Operator: Your next question comes from Eric Katzman – Deutsche Bank
Eric Katzman – Deutsche Bank: My first question has to do with, if you could explain the difference between some of the strong numbers that you talked about in terms of the US holiday programs, I think you said core spices were up 7%, extracts were up 23%, dry seasoning mix up 10%, Zatarain’s up 10%. Yet when I look at the segment results I think you said in local currency in America the business was up 3%. Is that all private label?
Gordon Stetz: No, also Canada we had a negative mix and volume performance that was not as strong within those areas. That helped dampen down the growth of those items.
Eric Katzman – Deutsche Bank: It was a combination of private label and Canada.
Gordon Stetz: Yes.
Eric Katzman – Deutsche Bank: Can you talk, given that we don’t have as much visibility into your ingredients, can you talk a little about your assumptions regarding fiscal 2010 inflation and then what you’re thinking long term for some of, not necessarily energy or packaging, but more the specifics stuff like pepper, vanilla, and the stuff we don’t have great visibility on?
Gordon Stetz: We’ve seen some increases in prices and some of the spice commodities but by and large it’s been fairly benign. As you know, as we build we take coverage at different parts of the year and as we go into the back half of the year we typically would be pretty well covered on commodities. Going forward, I would expect to see some inflation as we head into 2011 but we’re seeing for the most part those commodities to be fairly benign for 2010.
Eric Katzman – Deutsche Bank: I’m trying to think about, maybe this is a better question for the analyst meeting. The industrial business, with the pass through mechanism that makes margins swing around as you noted, therefore if that’s not the right way to look at it and it’s better to look at it just on EBIT dollars, the EBIT dollars there I guess you put up about $21 million this quarter. By and large over the last couple of years you’ve been generating $20 million or so, a little bit more than that per quarter. What gets that business to really move up, is it just the economy or is there anything else that you can do?
Gordon Stetz: It is things that we can do and that we are working on doing, penetrating those large customers, as you know. We’ll dwell on this more in the investor conference. As you know, we place a lot of focus behind a critical few customers, and those are customers that we believe are going to grow and do well and so we will grow with them and as we service their needs and we wrap ourselves around their initiatives. That’s a big component of our strategy. There’s also some mix opportunities for us in terms of new product innovation and some of the things that we’re doing to strengthen our technical insulation as products move up, and then this whole trend towards natural and more healthy is one that plays very well for us.
Operator: Your next question comes from Mitch Pinheiro – Janney, Montgomery, Scott
Mitch Pinheiro – Janney, Montgomery, Scott: Regarding the $8 million increase in your brand marketing in the quarter, how much of that was just due to the spike in media rates?
Gordon Stetz: I’d say very little of that. It really was a concerted effort around our own execution of certain programs.
Mitch Pinheiro – Janney, Montgomery, Scott: In the mix then, how do you guys think about your mix of media, print, web, TV?
Gordon Stetz: We evaluate that and we’ll share some of that information at the investor conference. We evaluate that based on the effectiveness and the kinds of things that we’re trying to do. We’ve always had a pretty heavy weight toward print because it lends itself to recipe. We’re making increased investments in the web but we do believe and we see from our returns analysis that TV is a good vehicle for us.
Mitch Pinheiro – Janney, Montgomery, Scott: The purpose of the marketing, marketing here in the first half there’s not a lot of new product launches right now and it’s not your core cooking season, although Easter is important obviously. Is this just sort of halo awareness advertising or are there some specific strategies that you’re focused on here?
Gordon Stetz: Our strategy specifically the second quarter is launching the new product, Recipe Inspiration and Perfect Pinch. That’s where a good bit of that increased spending is going to be. Also, because as we’re building for grilling season, we’re maintaining and increasing a little bit our spending behind Grill Mates. Our business is heavily weighted to the holiday cooking season but we’ve got seasonal products virtually all through the year that we want to make sure that we support, that react and respond very well to advertising. Grill Mates is one that year on year we continue to see double digit increases even in the first quarter this year when you don’t think people are grilling, we’re continuing to drive that franchise and it responds really well to advertising. Those are the kinds of things that we’re doing. The heavy spend in second quarter is Recipe Inspirations.
Mitch Pinheiro – Janney, Montgomery, Scott: Last question, relative to Easter, does the timing of Easter have any impact relative to last year?
Gordon Stetz: I think it was only about a week different than last year so quarter to quarter on our sales results shouldn’t have a big impact. I think last year was more of an impact from freight inventory changes that we saw.
Mitch Pinheiro – Janney, Montgomery, Scott: On the industrial side, in the America’s specifically, the volume was up about 6/10’s of 1%. Of that, can you break down maybe by channel a little bit, at least give some color on food service versus the new product pipeline from your ingredient customers, in terms of the growth rate there?
Gordon Stetz: It’s really a mixed bag which is why it netted out to be only up slightly. What we saw is in food service basically casual down, QSR flat, and some growth in food service distributors for really the first time in several quarters. We’re seeing some good response there but there are still pockets of weakness that we haven’t seen recover. The consumer food manufacturers didn’t have the level of new product innovation last year that we would typically see and some of that is carrying over into this year but we did have a number of new product wins for consumer manufacturers that have started to launch and we’re seeing the volume of that but it wasn’t enough to offset the lack of the carry over from last year. That was a little confusing because there are so many ups and downs in it. We’re seeing pockets of optimism and still some hangover from weakness from last year.
Operator: Your next question comes from Andrew Lazar – Barclays
Andrew Lazar – Barclays: This may also be a topic that perhaps you get into more detail at your meeting. I know the continuous cost improvement has been obviously a big enabler for your business and it shows through this year as well. When you look at the absolute numbers, whether it’s as a percent of cost of goods or what have you and you benchmark that relative to a lot of peers, many of whom have kind of as you’ve seen stepped up their productivity efforts of late, given the environment and everything else. I’m curious how much benchmarking you’ve been doing there if there are opportunities to step up that rate quite a bit because there does seem to be a big delta relative to at least where you are even though the numbers I know are big for McCormick, there’s a big delta there between where you are and where a lot of your peers are, as a percentage of cost of goods or what have you.
Gordon Stetz: We will be covering this in more detail at the investor conference, Jim Radin, who is in charge of our supply chain will be doing a very good discussion around that. In answer to your question, we do benchmark this and make sure we’re challenging ourselves adequately on the cost savings that we are targeting. We are continuing to look at areas where we can achieve more cost savings. I will say we’re still looking at definitions that we include relative to other companies and some of the things that we put in that $35 to $40 million are very, very hard year over year savings. Other things that relate to productivity and capacity improvements you’ve heard me say this before, we’re learning other companies are including those types of metrics and we have those outside of that $35 to $40 million. There may be a bit of a disparity in terms of what’s being counted in these things. We’ll go into a fair amount of discussion on that in the investor conference for sure.
Andrew Lazar – Barclays: In other words, some things are more ongoing as you may define it in terms of what you’re doing with your business over time.
Gordon Stetz: Right.
Andrew Lazar – Barclays: When you purchase ingredients in industrial now more on the half or in concert with some of your big industrial customers, as part of the way you purchase there. Does that offer you any additional scale purchasing advantages relative to when you were doing it on your own outside of those customers or not really?
Gordon Stetz: Typically the kinds of things that we would be cooperating on are large commodities like soybean oil and flour and things like that. It’s pretty hard to take advantage of scale in those kinds of largely publicly traded commodities, it’s more making the decision on what point we’re going to lock in and how long we’re going to lock in and those sorts of things. I wouldn’t say there’s a scale advantage in that regard.
Operator: Your next question comes from Eric Katzman – Deutsche Bank
Eric Katzman – Deutsche Bank: I think you mentioned that you were spending a lot more on promotion. You were definitely doing marketing but then I think you also said that you were, I think it was to Ann’s question regarding promotion and the price difference versus private label. How much did promotion impact your top line, I don’t remember if you mentioned that?
Gordon Stetz: Whatever promotional dollars that go to a price reduction would read through in the price and in the case of America’s we didn’t show any price. You’ll recall we had a price increase in the first quarter of last year, we anniversaried it so we may have had a little bit of a price benefit from that anniversary that was negated by the promotion. I don’t know if that helps answer but that’s where it would read through.
Eric Katzman – Deutsche Bank: It is material at all or is the promotional levels that you’re seeing to keep the gap versus private label, you’re saying that the promotional levels are not so significant that they needed to be called out and that whatever they are they’re pretty effective given the private label was down?
Gordon Stetz: That is what we’re saying.
Operator: There are no further questions at this time. I would like to turn the floor back over to Ms. Brooks for closing comments.
Joyce Brooks: Thank you for participating in today’s discussion. (Replay Instructions) If anyone has an additional question regarding the call please give me a call at 410-771-7244. This concludes our call.